Operator: Good afternoon, and welcome to the Usio Earnings Conference Call for the Second Quarter Ended June 30, 2019. All participants will be in listen-only mode. After today’s presentation there will be an opportunity to ask questions. [Operator Instructions] Participants of this call are advised the audio of this conference call is being broadcast live over the internet and is also being recorded for the playback purposes. A replay of the call will available approximately 1 hour after the end of call through August 28, 2019. I would now like to turn the conference over to Joe Hassett. Please go ahead.
Joe Hassett: Thanks, Andrea, and thank you, everyone, for participating. Welcome to Usio Second Quarter 2019 Financial Results Conference Call. The earnings release which Usio issued earlier this afternoon is available on the company’s Investor Relations website at usio.com/invest under News. On the call today are Louis Hoch, President CEO; Vaden Landers, EVP and Chief Revenue Officer; Tom Jewell, Senior Vice President and Chief Financial Officer; and Houston Frost, Senior Vice President of Prepaid Services. Management will provide prepared remarks, and then we will open the call to your questions. Before we begin, please remember that comments on today’s call include forward-looking statements. Forward-looking statements can be identified by the use of such words as estimate, anticipate, expect, believe, intend, may, will, should, seek, approximate or plan or the negative of these words and other similar words and phrases. Forward-looking statements, by their nature, involve estimates, projections, goals, forecasts and assumptions and are subject to risks and uncertainties that could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements, including risks related to the realization of the opportunities from the Singular acquisition, management of the company’s growth, the loss of key resellers, the relationships with the Automated Clearinghouse network, bank sponsors, third-party card processing providers and merchants, the volatility of stock price, the loss of key personnel, growing competition in the electronic commerce market, the security of the company’s software, hardware and information, compliance with complex federal, state and local laws and regulations; and other risks detailed in the company’s filings with the SEC. These forward-looking statements speak only as of the date of this conference call and should not be relied upon as predictions of future events. Usio expressly disclaims any obligation or undertaking to update or revise any forward-looking statements made today to reflect any change in Usio’s expectations with regard thereto or any other changes in the events, conditions or circumstances on which any such statement is based, except as required by law. Please refer to the company’s SEC filings on its Investor Relations website for additional information. With that, I would now like to turn the call over to Louis. Louis?
Louis Hoch: Thank you, Joe, and welcome everyone. On July 1 in conjunction with the ringing of the NASDAQ closing bell, we re-branded our – the company Usio, Inc. to reflect the evolution of our business. Today, I’m pleased that our first financial report under our new brand truly reflects the strength and the broad FinTech platform we have built and the wide range of payment solutions we offer. Revenues for the second quarter were $7.2 million, up 14% from the year-ago, and again – once again the highest quarterly revenue in the company’s history. All of the growth was organic and the growth in the second quarter accelerated from the first quarter. In the second quarter total dollars processed were up 7% to $876 million, with all three of our business units growing, although, the bottom line was down slightly from the year-ago. The primary growth driver in the quarter was once again ACH processing, our largest segment, which continues to enjoy steady mid-teens growth and positive cash flow. Both ACH transaction volume and returned check process volumes were up, with transaction volume up 14% and again, exceeding the industry volume of 7.7% as reported by NACHA. With the growth in the ACH industry deeper penetration of existing accounts and the addition of new accounts continues to be our formula for success. These growing relationships with new and existing accounts are built on a reputation for leading technical innovation. Over the next few months, we expect to launch another new product in response to changes in some of our finance end markets, which we will believe – we believe will solve some bottlenecks and freedom to accelerate their own growth. This foundation of our success recognizing the evolving challenges of the variety of end markets we serve as well as identifying new opportunities where ACH can provide an effective solution to new markets. And we are taking every opportunity to integrate not just ACH, but prepaid across all of our various electronic payment implementations, including in our card business. We can now offer merchants with payment acceptance needs a single solution to their multiple card ACH and prepaid requirements. This benefits each of our segments individually and Usio, collectively. We continue to be pleased with the progress of the growth initiatives on which we’ve placed significant focus. So today I want to introduce Houston Frost, our Senior Vice President of Prepaid Services, who is going to provide a quick update on our prepaid business before we hear Tom – hear from Tom on financials, and Vaden on card processing. Houston?
Houston Frost: Thank you, Louis, and good afternoon, everyone. It’s a pleasure to be speaking today and report on some of the prepaid card results. So in the second quarter, prepaid card load volume was up 95% and transaction volume was up 74% from the same quarter a year-ago. Results continue to be driven by the addition of new prepaid customers as well as strong growth of existing customers. University Fancards, for example, as recently added a new school to the program, and we’re seeing their active cardholder base growing at a good pace. In addition, customers such as Snowfly and SVM continue to introduce our technology to a growing card businesses, looking to enhance and automate their incentive and promotional programs. A number of you on the call have most likely seen some of the innovative technology powering our incentive and promotional cards, usually at an investor event where may have received a digital Mastercard via a text message. We’re continually development new features and functionality across our various prepaid program types to help us maintain our competitive edge and drive growth over the long-term. Overall, prepaid revenue was up 66% in the second quarter of 2019 as compared to the same quarter last year. Now I’d like to turn the call over to Tom Jewell, our Senior Vice President and Chief Financial Officer, to discuss the financial results in greater detail. Tom?
Tom Jewell: Thank you, Houston, and welcome, everyone. Let me provide a brief review of our financial results before turning the call over to Vaden. As you heard from Luis and Houston, it was another solid quarter. Revenues were up 14% to a second quarter record of $7.2 million, with ACH business, once again, representing the majority of our revenue gains, although, all three segments were positive. Gross profits were up 19% to $1.6 million with gross margins of 21.9%, expanding from the 21% margin recorded in the second quarter 2018. Margin expansion compared to a year ago is primarily due to gains in our higher margin ACH business year-over-year. General and administrative expenses for the quarter were $2.0 million or 27.5% of revenues. This is up from a year ago primarily due to our continued investment in growth initiatives in the form of more resources facilitating of revenue growth and technology enhancements. The operating loss for the quarter was $1.3 million, up slightly from a year ago, again, primarily due to the commitments we continue to make in our growth initiatives. Adjusted EBITDA for the quarter was a loss of $0.4 million, up marginally from the second quarter of last year, and essentially flat with the first quarter. For the quarter, the net loss was $1.3 million or $0.10 per share based upon a 13 million shares outstanding. The net loss was $1.0 million or $0.09 per share in the comparable year ago quarter. We remain strong financial position with cash and equivalents of $3.3 million, up about $600,000 from the beginning of the year. In summary, the year remains on track as we continue to keep our strong financial position while effectively balancing the cash flow generated by the ACH business with the investment required to fund our growth initiatives. At this point, I’d like to turn the call over to Vaden. Vaden?
Vaden Landers: Thanks, Tom, and thank you, everyone for joining the call today. Our card business had another good quarter. Transactions processed were up 13% and dollars processed were up 8%. Growth rates that are both up sequentially from the first quarter, providing a nice tailwind and forward momentum. Both growth rates reflect the early, albeit, modest ramp of our PayFac business as momentum is building around our payment facilitation model. We recently announced that we had assigned two sizable health care clients, representing a combined 143 facilities that are now on our system. Both of these ISV partners have moved out of the integration phase and into what we referred to as the monetization phase, meaning that they can start earning revenue on the payments processed across our platform. Furthermore, and most importantly, as we’ve recorded today, we’re beginning to see card processing dollars attributable to PayFac, begin the ramp. Last quarter, I provided some details of our PracticeSuite partnership, the largest ISV we have signed today. Today, I’m pleased to report that in the month of July we launched the first phase of the rollout of PracticeSuite payments offering which they have branded as ePayments. And the initial test tranche of users were batch enrolled on to system, and an e-mail marketing message was immediately sent, announcing the availability of ePayments within the PracticeSuite technology. The program has ended the user activation phase, which is the final stage of the process. PracticeSuite’s successful implementation essentially validates our PayFac model ability to do something that has never been done in the payments industry before, systemically providing for a deeply embedded payment solution inside the piece of software and then create thousands of merchant accounts in a single day. That’s impactful. We will continue to innovate for the removing friction from this traditional cumbersome and laborious process. More importantly, we will continue to add mission critical tools to our solutions set, including enhance security, broad provision and perhaps, a greater interest of data analytics. To wrap up here, these are still early days for our PayFac platform and specifically, our PayFac in a box offering. Everything we do, everything we experience, every challenge or opportunity we encounter is an opportunity to use new learnings to improve our performance. The best way to look at PayFac is essentially, to consider it a start-up inside of an established public company. When you’re implementing a groundbreaking strategy and building innovative technology and processes, it is naturally going to take time to gain traction before hitting the inflection point where growth accelerates. What is exciting to me is that each implementation further validates the model. Every new integration, merchant activation and processing dollars added to the system serves to make the next one easier providing for positive outcomes. So we just want to appropriately set expectations. Remember, we only launched PayFac in about seven months ago. Our early success with beta-test naturally created tremendous excitement. Now things are beginning to progress. We’ve developed a pipeline of software partners who, as a collective whole, represented billions of potential payment volume. Over the next several quarters, the volumes following across our platform will serve as the ultimate proof of our scale base leverage distribution model strategy. I couldn’t be more enthusiastic about what I see on the horizon for the company, not just PayFac, but across the board. With that, I’ll turn the call back over to Louis for some quick closing remarks. Louis?
Louis Hoch: Thanks, Vaden. Let me just conclude by saying I feel very good about where the company is and where Usio is going. Our new branding has been especially excited. From an operational standpoint, we have prudently managed our actual cash outflow, while simultaneously heavily invested in the launch of two new businesses, prepaid and PayFac, because of our ability to manage this challenging task and more importantly, because of what I see out over the horizon, we believe that fiscal 2019 will be another year of strong organic growth and the foundation for even better performance in the years to come. Before we open the call to questions, I want to address the question that was e-mailed in by investor. He asked that if you are aware of the Federal Reserve’s announcement on their future implementation of a real time payments and what our thoughts are if any? And of course, we are aware of the announcement, [reviewed] [ph] is very positive for industry and potentially for Usio. We have been closely watching the Clearinghouse offering, which has been operational for bank-to-bank transfers. We believe that that offering, along with the Fed’s offering, we’ll provide value for both consumers and merchants, when either of the networks allow for merchant direct access, we will enable our technology and allow our merchants to receive the value from real time payments. At this time, I’d like to open the call up for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Gary Prestopino of Barrington Research. Please go ahead.
Gary Prestopino: Hi. Hello, everyone.
Louis Hoch: Hi, Gary.
Gary Prestopino: A couple of questions here. Vaden, last quarter, you said you had signed up a number of business – a new business that had about $1 billion of processing volume. Do you have any numbers you can give us as to how much that – these new business awards have accelerated with total processing volume?
Vaden Landers: Hey, Gary, thanks for the question. I’ll just say instead of giving a specific number, I’ll just say that the $1 billion number that I mentioned before as a pipeline has grown and the opportunities have multiplied, that number has grown exponentially as well. And again, just to be clear so everybody understands in the spirit of setting right expectations, the – when we said $1 billion, we’re talking about the amount of volume that our software partners can see going across their platform. Getting from an integration to that volume actually processing on our platform whether it be some or all, is a process. And a process that we are going through very diligently every single day. And we’ll continue to work hard to perfect that process and improve that process. So that we can get to those volumes quicker and more effectively.
Gary Prestopino: Okay. What are the some of the key things that you have to do to get these – some of these accounts or these – or whatever the ISVs are doing to get it to the monetization phase? How you are trying to get that over the wall?
Vaden Landers: Yeah, Gary, the biggest thing is really creating the same sense of urgency with our software partners as we have internally. A lot of times, when we talk about and model out these numbers and we show them to our software partners, and we look at potential revenue opportunity is for them. They frankly have a hard time believing it. And as I mentioned earlier in my remarks, one of the things that is a recent learning going through this PracticeSuite implementation and activation phase that we’ve entered into is that, the data that these guys maintain and keep on their customers isn’t always the best. So I think, I mentioned on our last call that we were looking to launch PracticeSuite in June. We actually got a – probably a three week late start on that, because when we received the file, we had to go and do a ton of the data cleanup. The first file was almost 2.5 times the size of the file we ended up working with, which is a bad news. The good news is we got a file. So that was a part of the validation process that we needed to prove out is that we can actually get a file with thousands of merchants on it, and then, clean that file up to the point that we could turn it into something that was actionable, which we believe we’ve done. And now we’re sort of actively sending e-mails and marketing messages and making call behinds to get these merchants to basically click the button and go live. So we’re learning a lot. We’re spending a lot of time, a lot of energy, a lot of effort, and every ounce of those efforts are really geared towards getting volume on the platform and whatever lessons need to be learn, we learn them quick, and then we apply those learnings to the very next call. So hopefully, that helps in terms of answering that question.
Gary Prestopino: Thank you.
Vaden Landers: Yes, sir. Thank you.
Operator: Our next question comes from Brian Kinstlinger of Alliance Global Partners. Please go ahead.
Brian Kinstlinger: Great. Thanks so much. Can you talk about the impact on PayFac had on revenue this quarter compared to previous quarter? I know you said, it was small. And then given the 143 facilities that are now online, how much do you expect this revenue contribution to grow in the second half of 2019? I mean, what kind of volumes, do you expect to be processing on an annual basis as you exit the year in that business?
Louis Hoch: Well, Brian, as you know, we don’t this segment reporting, so I’m not going to tell you how much revenue they did. I can tell you that PayFac is growing, processing volume is growing, and it is contributing on the revenue basis. So…
Brian Kinstlinger: How do we think about 143 facilities in terms of processing volume? I mean what…
Vaden Landers: Hey, Brian. It’s Vaden. Maybe I can help. We did a press release where we basically announced that these guys – these two companies that we’re talking about, one is a $800 million plus revenue business annually, and the other is north of $300 million. So you can add those two numbers up and figure out for yourself, what the potential processing volume could be. I can tell you that we have only begun to scratch the surface. We are working with each of those – really with no effort, we’ve gotten some nice volumes to begin the flow. And since those – since we turned it on, we have begun the work very closely and continue to work very closely with both those clients to say, all right, guys, look you got this much in volume flowing through your system. You’ve got this much on our system, there is a huge delta there. How do we close that gap? And so what’s happening now is literally looking at and discussing and strategizing on ways that we can increase those volumes. Because look it’s in there, best interest and our best interest to drive as much of that volume as they can into some electronic form of payment leveraging the technology that we embedded inside their systems in order for us to both win and ultimately, their customer wins because we created more convenient payment mechanisms. So – one such example of what we have done is in the last month inside of every bill that went out, that they mailed paper bills every month in this one particular instance. And then every single one of those bills we created, what they call, a pink slip. And that pink slip basically said, there is now an online portal. There is the ability to make your payments online. You don’t have to mail and check. And we created some messaging around that and we sent that in every single one of those bills, and we saw an uptick. So it’s baby steps, but we’re working very, very hard to work with those clients who-- again, you have to remember this is something we learned the hard way of every single day. They have competing priorities, and trying to get them to share our sense of urgency has been our biggest challenge thus far. But as the money starts to show up in the form of these residual payments and as they begin to see this stuff happened, it becomes easier and easier to get them to embrace what needs to happen in order to get to where we all want them to be. So it’s insignificant today in terms of the overall volume that’s flowing through their system. But it’s – again, we’re working hard every single day and every single week and every single month to grow those volumes on our platform.
Brian Kinstlinger: Great. Thanks. And then looking at the conversion rate, between revenue and volume, there is much higher, and I think at any point in the past as a result it looks like revenue growth is higher than volume growth by a good amount. So can you discuss what is driving these strong revenue convergence from the actual processing volumes?
Louis Hoch: Tom, do you have answer…
Vaden Landers: I can speak to while Louis and Tom are prepared their response, if they have one. I can tell you one thing that we’ve seen from the PayFac business. And one of these two customers that we were just talking about in particular, is doing a fair bit of ACH in an integrated environment on our platform. And they’re doing it – we’re not selling ACH through our model, for the most part, in a paper click type of commodity situation, it’s more new process volume on the system. And irregardless of whether it’s card or ACH, we charge a percentage against that volume and that allows us to capture a much higher revenue and gross margin per transaction when that occurs. So that’s some of what I expect you’re seeing there. I don’t know if Tom and Louis want to add to that or what have you…
Tom Jewell: Yeah. I think, Brian, what it is, as we’re focusing on the growth initiatives, what you’re really seeing is, we continue the strong ACH growth. We’re – we had, as Vaden mentioned, this strong quarter in card. And then, also, we’re starting to see the pickup in the prepaid business as well. And I think, it’s just a combination of all three of those driving…
Brian Kinstlinger: ACH is growing faster. Does that mean you will have more revenue per dollars processed? Is that one of the rationales?
Louis Hoch: ACH can be a fixed cost. So that wouldn’t be type of a dollar volume. For the most part, except for what they just refer to if it’s integrated with in the PayFac platform.
Brian Kinstlinger: Are you able to provide the split in processing volume from the ACH to credit cards, and you were able to back into it? Can you maybe help us out there? And how that compares to last year?
Louis Hoch: Yeah. We are not We’re not going to do that at this time, but we’re not considering that. This last announcement, we started talking about prepaid volumes. So we’re definitely focused on giving you a more transparency into the individual business segments, especially since prepaid and PayFac are experienced in growth, when it was ACH and legacy card business, the number was a number, but announced since they’re contributing, we’re going to find ways to give you more and more transparency there.
Brian Kinstlinger: Okay. I am asking one more question, I’ll get back in the queue, as others have questions. But during the first quarter conference call, you highlighted the expectation to grow revenue 20% during 2019, which is just about almost [$16 million almost in a $0.5 million] [ph] of revenues in the second half of the year at the low end of what you’re talking, 20% to 25%. Do you still believe this is the right expectation for investors, especially, given, Vaden, you started a little bit cautious about initial adoption of PayFac? And maybe it’s actually revenue contribution before it takes off maybe next year?
Vaden Landers: I’ll just – go ahead, Louis.
Louis Hoch: So we – right now, we’re tracking a little less than 20%. But third quarter, fourth quarter are always our biggest quarters. And we are seeing a nice growth from prepaid and PayFac. So right now, we’re still focused on that 20% year-over-year growth.
Vaden Landers: Brian, just to add what Louis said, and further to my remarks and as you pointed out cautious – being cautious and how we represent what our expectations are. I mean, I had given this analogy to some of you guys on the phone and maybe in person, but it’s almost like we’re standing on the shore and we can see the tide away building out there. We know it’s headed in, and really, it’s hard to predict and forecast how soon that wave is going to hit. And when it hit, it’s going to be obvious. And so, we’ve been wrong internally in terms of how we’re looking at forecasting the timing of these things. And we’re learning that we’re largely not in control of the pace, at least not to the extent we want to be and we’re trying to do a better job of that. So it’s to Louis’ point, we’re focused on that 20% number. We’re trending slightly below that number today. But it’s the way it comes. We couldn’t tell you what it could possibly be. But I think the easiest thing to say is that we’re excited about the momentum that is building across all segments of the business.
Brian Kinstlinger: Okay. Thanks so much, guys. It was really helpful.
Vaden Landers: Thank you.
Operator: Our next question comes from Michael Diana of Maxim Group. Please go ahead.
Michael Diana: Okay. Thank you. Actually my question was about the 20% revenue growth. And I hear your answer. And whether it happened in the fourth quarter or the first quarter, it’s still going to happen it sort of sounds like? Thanks.
Houston Frost: Thanks, Mike.
Louis Hoch: Yeah. I think, you read that right, Michael.
Operator: Our next question comes from [Ron Odnissar from Retail] [ph]. Please go ahead.
Unidentified Analyst: I have a question for Louis. Good afternoon, Louis.
Louis Hoch: Good afternoon, Ron.
Unidentified Analyst: Recent Usio news, so just there is offices, of course, in San Antonio, Texas; Franklin, Tennessee; and recently Austin, Texas. Austin is only 80 miles north of San Antonio, and it’s becoming or is a high-tech [be higher] [ph] activity with Apple starting to build $1 billion campus there, and Google occupying a building. My question is what do you hope to accomplish in Austin?
Louis Hoch: Yeah. Houston’s development teams there, so I’ll let Houston answer that.
Houston Frost: Yeah. So Ron, you hit the nail on the head there. We currently have exclusively engineers in the Austin office. We needed to expand our technical team. And we were getting a lot more options in terms of talent just 80 miles up the road, as you stated. So I think we’ve got a total of five employees out there. It’s not large, but it – I can tell you, we recruiting has been – it’s been a big year for recruiting for us. And we learned some lessons this year about the various markets and talent in those markets. And it was pretty amazing when we kind of opened the doors to an Austin office and what we started to see there. So there is the purpose of that office for the time, I mean that – does it mean that it will always be exclusively technical talent in that office, but that’s the reason why we opened it.
Louis Hoch: Yeah. Ron, San Antonio was amazing place for live and have a company, and it is immune to a lot of economic fluctuations. If San Antonio was operating at 2.8% local unemployment, which is in any economist will tell you that for employment plus some. So it was necessary for us to reach out into the Austin market to expand our development base and we’ve been successful with that.
Unidentified Analyst: And also in the past, it’s been mentioned that Payment Data Systems was involved with Apple iTunes and Apply Pay. And I even mentioned in the past PR of Google Pay, Apply Pay and Samsung Pay. My question and I’ll let you go after you answered this, if you can. Are you still connected in ways that would allow you to connect seamlessly with Apple iTunes or Apply Pay?
Tom Jewell: We’re not going to do anything with Apple iTunes, but our cards are enabled on Apple Pay and Samsung Pay, Google Wallet and we’ve had some innovations there. And first one to deliver prepaid cards to each one of those networks. And we’re the only company that we were aware that can deliver a virtual Mastercard, gift card directly to your phone. And in our network are so rich that Mastercard and Apple use, our network to test their own products.
Unidentified Analyst: Outstanding. Thank you very much. And have a good evening.
Tom Jewell: Thanks.
Operator: Our next question is a follow-up from Gary Prestopino of Barrington Research. Please go ahead.
Gary Prestopino: Hey, Louis, you mentioned some about a new product and ACH. Can you give us some idea of what you’re thinking there?
Louis Hoch: It’s a new channel, and it’s not – it’s going to the Fed instead of going directly. And we’re going to do a product announcement on it, so I don’t want to tell you too much about it yet. But it’s an excellent cross-sell opportunity and to customer base and our customer base has a need for it. And that would be one of those implementations once we implemented that will receive immediate sales from it.
Gary Prestopino: Okay. That’s fine. And then in terms of you mentioned cross-selling. Now you have a branded solution across card, prepaid and ACH. We are the biggest – I guess the biggest source of cross-sell using the PayFac platform particularly with offering ACH processing through the engine that you have on the ACH side?
Louis Hoch: It depends on the merchants need, but that one is probably the easiest. If you’re going to accept cards, you probably want to accept the ACH and you’ve been ignoring it in the past, because it wasn’t easy for – either easy to receive. Because it required two agreements, two connections, and of course, each one of those products behave differently, right. So real time versus batching. It’s stuff like that. So that one has been successful for us, cross-selling, ACH and card merchants. But we’re also seeing PayFac provide opportunities for prepaid cards as well, corporate incentive cards and rebate cards and sales commission cards, and business expense cards, and so.
Gary Prestopino: Okay. Thank you.
Houston Frost: One of the other areas – this is Houston. I’m sorry. I’m going to jump in. One of the other areas that we’ve looked at on the card, the prepaid side with the PayFac side is a corporate expense solution that we tied directly to the merchant account. There is no product announcement to be made here. But it just gives you an example of how that two products could play together, where effectively you may have faster access to funds in your merchant account or funds received through those payments by doing near real time deposits, for example, on a card solution. So yes, those are – that’s another example of how the two could play together.
Vaden Landers: Hey, Gary, just one additional comment. The other thing that we’ve done and we have a couple of strategic – what we call, strategic marketing partners who are out in the marketplace in the various niche verticals that we play in healthcare, property management, utility, you guys know what they are. But there are out there selling our products and services, along the other products and services that they sell. And so we’ve been beginning them in routinely and training them up on the value and benefits of the prepaid product. And the value and benefits of ACH, the verticals where those products make sense and really helping to educate and empower them to go out and add those things to their tool box, especially since the APIs to be able to do all those things inside of the integration layer already exist. So we try to make it very easy from both technology perspective and from a sales and marketing perspective, as it relates to going to the market with a turnkey solution instead of just card or just ACH or just prepaid. So we think it gives us strong competitive advantage that differentiates us from much of the marketplace. There are very, very few players who are issuers and acquirers and also significant ACH player who want this own platform related to that. So we think those things create a nice opportunity for cross-sell to our third-party distribution channels as well.
Gary Prestopino: Just one quick question, the PayFac have the functionality and that ISV can share on the revenue stream on ACH transaction as well as a prepaid transaction?
Vaden Landers: Yeah. Absolutely. Absolutely.
Gary Prestopino: Great.
Operator: Our next question is a follow-up from Brian Kinstlinger of Alliance Global Partners. Please go ahead.
Brian Kinstlinger: Great. I have two questions. Thanks. In the last few quarters, you’ve talked about with the volume changes in your business in the mix shift and that gross margin of 20% is sustainable? You’ve done almost 200 basis points better in the second quarter, and second quarter gross margin is sustainable? Or should we still think 20% to 21% is reasonable long-term expectation?
Louis Hoch: I like 20% to 21%, just because the majority of the increases in revenue will come from card-related products, which the margins are tender. As the prepaid accelerates that will increase margins and ACH will continue to grow and that’s our biggest margin. But we’re likely to get more revenue from PayFac, which is a lower margin. So we like that 20% to 21%.
Brian Kinstlinger: Yeah. Okay. And then my other follow-up, and again, I joined the call few minutes late. But I just wanted to be sure. This is the first time you guys provided data on the prepaid data, the prepaid cards, and when I realize the impressive growth that’s one of the reasons. I think, one of the reasons in the past you didn’t give it wasn’t meaningful enough to revenue. Is it meaningful now that we’re seeing these numbers? Is it at least 5% or 10% of revenue? Or is it still quite small, but growing very fast?
Houston Frost: It’s somewhere between those two numbers.
Brian Kinstlinger: Okay. That’s helpful.
Houston Frost: So we hope that will be in a double-digit percentage, perhaps, by the end of the year, maybe into 2020, we’ll see how growth goes and may be if they to be pretty good and then it will be harder to get double-digit percentage on the growth. But yeah, somewhere between those two.
Louis Hoch: We announced quite a bit of number of prepaid deals that Houston and his team closed last year, and we’re starting to see volumes from them. And it’s really exciting. So we want to give more visibility in each business segment help you and others model correctly. And we’re trying to figure out the best way to do that.
Brian Kinstlinger: Okay. Thanks very much.
Vaden Landers: Hey, Brian, just one last thing, I mean Houston would tell you this is well, but one of the things that really has contributed to that growth as we were able to and fortunate to be able to reach into Worldpay, and grab one of their [start] [ph] business development guys on the prepaid side, who – I mean, this guys [eats, dreams, sleeps] [ph] prepaid. And he is done a great job, I said the rest of Houston’s team just really putting their heads down and strategizing and game planning and going out of leveraging their respective role and access to turn this thing up and notch. And so I think a lot of that is what you’re seeing is result of that investment.
Brian Kinstlinger: Okay. Thank you so much.
Vaden Landers: Thank you.
Operator: This concludes our question-and-answer session. The conference has now also concluded. Thank you for attending today’s presentation. You may now disconnect.